Operator: Good day, and welcome to Astra's Fourth Quarter Fiscal 2022 Financial Results Conference Call. Today's call is being recorded. I would now like to turn the conference over to Andrew Hsiung, VP of Strategic Finance and Capital Markets.
Andrew Hsiung: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Astra's fourth quarter and fiscal year 2022 results call. After the market closed, we released our financial results. The press release is available on the SEC's website and our Investor Relations website at investor.astra.com. A supplemental presentation related to our results can also be found on the Investor Relations section of our website. This teleconference is also being broadcast over the Internet and will be archived and available on our Investor Relations website. During our call today, we will reference non-GAAP financial measures, which we believe to be useful to investors as our management team uses these non-GAAP financial measures to plan, monitor and evaluate our financial performance. These non-GAAP financial measures exclude certain items and should not be considered as a substitute for comparable GAAP financial measures. Astra's methods of computing these non-GAAP financial measures may differ from similar non-GAAP financial measures used by other companies. A description of these items along with the reconciliation of our non-GAAP financial measures to the most comparable GAAP financial measures can be found in our results release. Today's call will also contain forward-looking statements. These forward-looking statements refer to future events, including Astra's future financial outlook. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions, as they relate to Astra are as such, a forward-looking statement. These forward-looking statements are subject to a number of risks and uncertainties, and as a result, Astra's actual future results and performance may differ materially from those discussed in this call. We encourage you to review our filings with the SEC in which we describe the factors that could cause actual results to differ materially from our current expectations, including those updated risk factors included in our quarterly report on Form 10-Q. Finally, I would like to remind everybody that this call will be recorded and will also be made available for replay via link available on the Investor Relations section of our website. With that, I would now like to turn the call over to Chris Kemp, Astra's Founder, Chairman and CEO. Chris?
Chris Kemp: Thanks, Andrew. Good afternoon, everyone, and thank you for joining us. Joining me on the call today are Axel Martinez, Chief Financial Officer, and Martin Attiq, our Chief Business Officer. During today's call, we will review our operational and financial results for the fourth quarter, discuss our key accomplishments during 2022, review guidance for Q1 and provide an update on our launch services and space products businesses. First, I'd like to recap our key accomplishments in 2022 for our two core businesses; launch services and space products. 2022 was a productive year for our launch services business. We successfully deployed 22 satellites into Earth orbit in March of 2022 for three different customers. This success followed Astra becoming the fastest privately-funded US company to place a satellite into orbit in November 2021, just five years after we were founded in 2016. Astra also became the first company to launch under the Part 450 FAA license framework. Astra's manufacturing facilities achieved a Rocket 3 production rate of approximately one rocket per month from January to July of 2022 and we conducted two Rocket 3 launches within 33 days. After the TROPICS-1 mission mishap, NASA agreed to modify its contract with Astra to launch future payloads on our new Rocket 4 vehicle. Based on customer and market feedback, we stopped launching Rocket 3s and focused on accelerating the introduction of a higher capacity 600 kilogram version of Rocket 4, that can be mass produced on our new Rocket 4 production line that we expect will be capable of producing up to one rocket per day. We continue to anticipate commencing test flights for Rocket 4 later this year. Perhaps the highlight of 2022 was significant customer traction of our space products business. We announced 278 committed orders as of today, March 30, including customer contracts with Airbus OneWeb Satellites, Astroscale, Maxar Technologies, and LeoStella, among others, representing approximately $77 million of contract value, the majority of which is expected to be delivered in 2023 and 2024. We successfully delivered on three customer programs of the Astra Spacecraft Engine. We took important steps to scale the production of Astra Spacecraft Engine with the buildout of a new dedicated production facility in Silicon Valley, and we expect the facility will eventually support production of up to 500 units per year with our production ramp beginning in Q2 of 2023. Since our inception, we have taken a long-term view on the growth of the commercial space industry. In 2022, we saw the number of satellites launched increase by 31%, global launch rate increase 27%, and the overall space economy grow by 8% to $464 billion. Each of those benchmarks validates the trajectory of the industry that we anticipated and which have guided our strategy, product roadmaps and investments. Our strategy to become the leading provider of launch services in space products required long-term investments and our rocket and space product production lines in 2022. And in 2022 and early 2023, in spite of the challenges, we stayed the course and completed the buildout of our new Rocket 4 and spacecraft engine production lines and invested heavily in the people and equipment needed to increase the quality and reliability of our products and services. Our team is laser-focused on two key goals. In launch services demonstrating a reliable and scalable launch capability, Astra is one of only five privately funded US companies that has conducted successful orbital launches and successfully delivered satellites into lower earth orbit. Based on the data and experience gathered from our missions in 2022, by investing in mass produced rockets and via automation of key manufacturing and launch operations processes, we plan to lead the market in lowest cost launch. We have designed our Launch System 2 with the expectation that it could service up to 80% of the addressable satellite market. Two, space products scale production. We've moved into a new 60,000 square foot Astra Spacecraft Engine facility in Silicon Valley toward the end of March. With the expected annual capacity of almost 500 units, this facility is designed to allow us to service our customers' current needs as well as future demand. Astra's mission of improving life on earth from space has never been more relevant than it is today. We continue to believe that frequent, reliable, dedicated launches and scaled production of space products are the keys to accelerating the growth of the space economy. In 2022, Astra launched its first customer satellites and sold spacecraft engines that will power a number of new constellations of small satellites in lower orbit. We are proud of the team for accomplishing these milestones. We are also humbled by our failures and we've learned a tremendous amount from them. I look forward to providing you with frequent updates as we progressed towards our first flight of Rocket 4 later this year and begin to ramp up production of our spacecraft engines in Q2. Now, I'd like to provide an update on the progress we've made on the development of Launch System 2. Our launch services customers include satellite operators, manufacturers, and government agencies. Rocket 4 is now targeting deliveries of up to 600 kilograms to mid inclination lower earth orbit. As indicated previously, we continue to expect test flights for Rocket 4 to begin in the latter part of 2023 and continue to remain on track with our key development milestones leading up to our first flight. Since the last earnings call, we've completed the qualification of our new upper stage engine, completed a full flight duration run of our new first stage engine, completed the qualification of key manufacturing processes for the new Rocket 4 propellant tanks, including completing tank burst tests. Finally, we released our payload users guide for Rocket 4, which allows our customers to better understand the capabilities of our system and the features of our launch service. We've made substantial progress towards completion of the Rocket 4 production line. In the past few months, we've also provided details around our quality-control lab and our first stage engine mission duty cycle among other updates. After over six months of rigorous testing and analysis, we received a formal closure letter from the FAA concluding our TROPICS-1 investigation on March 01. You can find additional details on Astra's website. Rocket 4 incorporates key architectural decisions that we believe address the causes of the TROPICS-1 mishap, while building on the heritage of flight-proven elements of the Rocket 3 series. I'll now provide an update on our space products business. As I mentioned earlier, we finalized the build out of our new dedicated spacecraft engine manufacturing facility this month. We believe the facility and our earlier investments in our production capabilities will allow us to eventually deliver up to 500 spacecraft engines per year. Specifically, as it relates to updates on our space products business, we announced 278 cumulative orders of the Astra spacecraft engine as of March 30, 2023. This includes 264 new orders since we closed the Apollo Fusion acquisition on July 01, 2021. As we've previously discussed, orders are typically delivered to customers approximately one year from the contract signing. However, actual schedules may vary from customer to customer. This brings our total contracted value to approximately $77 million, the majority of which is expected to be delivered in 2023 and 2024. We delivered on the third full customer program of the Astra spacecraft engine in Q4 of 2022. We believe that the Astra spacecraft engine is the leading electric satellite propulsion offering in the market today. We thank our existing customers for their belief and trust and Astra to deliver critical satellite components for their important missions. We also continue to maintain dialogue with prospective customers and we believe we'll continue to see increasing demand for this product. Finally, given the feedback we've received from our customers and shareholders, I want to specifically outline how we've responded to deliver reliable products and services to our customers. Specifically, we've made the following investments, process changes and organizational changes to maximize the reliability of both our launch services and our space products businesses. We appointed Doug Coleman [ph], the former launch in test lead for Blue Origin's successful New Shepard first flight to lead, launch and test operations. We've set a new tone at the top on the criticality of reliability, added reliability as a core Astra value, revised and implemented more rigorous Astra development processes that include explicit requirements for failure mode analysis, design reviews and Test Like You Fly reviews. We've established a new top level mission assurance organization led by Andrew Griggs as a member of the Astra management team, that includes distinct teams focused on reliability, quality engineering, safety, quality control, and supplier quality. And finally, we've invested in state-of-the-art equipment to give our engineers new tools to measure quality during our engineering and manufacturing processes, including an Nikon CT scanner, Nordstrom 2D X-ray scanners or Renishaw direct computer controlled coordinate measuring machine or CMM, a brown and sharp manual CMM, Mititoyo vision measuring system and flir [ph] thermal imaging cameras, arm [ph] and many other new tools. With that, I'd like to turn it over to Axel to review our financials and guidance for the year. Axel?
Axel Martinez: Thank you, Chris, and good afternoon, everyone. I will now review our results for the fourth quarter of 2022. As a reminder, all non-revenue financial figures we will discuss today are adjusted, unless we state them as a GAAP measure. You will find a reconciliation from GAAP to non-GAAP results in today's press release. In Q4 of 2022, we deliver on one new customer program for the Astra Spacecraft engine. The program was a legacy contract from Apollo Fusion. The value of the contract was $3.5 million, and after significant analysis, we concluded that it should be recognized as other income, rather than revenue, and its related expenses to be included in R&D expenses. For that reason, we did not recognize any revenue during the quarter. Nevertheless, the full benefit of this contract is recognized in our income statement in Q4 as other income. If you were to sign this contract today, we would recognize $3.5 million of revenue and $1.8 million of cost of goods sold, leading to a gross margin of approximately 49%. GAAP operating expenses total $50.3 million in Q4, compared to $201.4 million last quarter. As a reminder, $133.4 million of GAAP operating expenses in Q3 were attributed to one-time items. GAAP operating expenses in Q4 included the following; R&D expenses of $29.1 million, encompassing our continuing investments in our core businesses, plus cost related to our spacecraft engine, customer delivery; sales and marketing expenses of $3.9 million, reflecting investments in ongoing sales efforts for launch services and our Astra spacecraft engine and G&A expenses of $24.5 million, including ongoing investments in key systems and technologies among others. Our G&A expenses in Q4 contain stock-based compensation related to purchase of certain executives during the quarter. Excluding stock-based compensation, G&A expenses would have decreased quarter-over-quarter, primarily resulting from a reduction in consultant and legal spend. Now, let's talk about all of the one-time items during Q4 2022. During the fourth quarter, we recorded $5.3 million of one-time adjustments, including $3.8 million of severance costs related to the reduction in force implemented in November, 2022. Given these one-time items on a GAAP basis, our third quarter net loss was $44.3 million. On a non-GAAP basis, fourth quarter adjusted net loss was $37.3 million. Q4 adjusted EBITDA was a loss of $36.6 million, a $4.8 million improvement compared to last quarter. Fourth quarter, capital expenditures were $7.6 million, and primarily related to the continuing investments in the development of launch system 2.0 and the delivery of our Astra spacecraft engines. We expect the majority of capital expenditures related to our space products business to be completed in Q1 2023. We ended a quarter with cash, cash equivalence and marketable securities over $102.8 million and no data outstanding. In addition, we also continue to evaluate various sources of capital as we carefully manage our financial runway. Now, regarding our NASDAQ listing status, we publish a piece on the Astra website on March 16. As noted on March 13, Astra submitted an application to NASDAQ for an additional 180-day period, to comply with the $1 minimum bid price requirement. Based on our discussion with representatives of NASDAQ, we expect to hear back from NASDAQ on or around April 05, and we're not aware of any reason why our application will not be approved. We continue to actively monitor our listing status and are prepared to take the actions that are recently necessary to preserve our listing. Next, I'll provide an outlook for our first quarter ending March 31. As previously mentioned, we continue to focus our operating plan on the delivery of Astra spacecraft engines and the successful first flight of Rocket 4. In Q4, we made decisions to optimize our operating plan to increase our financial wrong way amid market volatility. Going forward, our goal is to reduce G&A expenses, including consultants, IT system, and other administrative spend to focus all of our resources on our top two priorities, launch services and space products. As a reminder, our first quarter guidance and all guidance is subject to various important cautionary factors, including the risks and uncertainties set forth in our Annual Report on Form 10-K, as well as the decision to discontinue the production of Launch vehicles supported by Launch System 1.0. There is also risks associated with macroeconomic factors, a dynamic share across many companies and industries.  Now, we will provide future guidance. In the first quarter of 2023, we currently expect adjusted EBITDA loss to be between $37 million and $41 million; basic shares outstanding to be between 269 million shares and 271 million shares; capital expenditures to be between $6 million and $8 million. On the spacecraft engine, you should expect a gradual ramp up in shipments beginning Q2 of this year, as we have just finalized this month, the build out of our dedicated spacecraft engine production facility. As of today, we have 278 cumulative committed orders for Astra spacecraft engines, and we continue to see strong customer demand for our spacecraft engines. We are very excited by the momentum we are experiencing in the development of our new launch system and a continued commercial success of our spacecraft engine business. We believe that 2023 will be a transformative year for Astra, and we look forward to sharing our progress throughout the year. I will now turn the call back over to Chris.
Chris Kemp: Thanks, Axel. Astra is well positioned to deliver Astra spacecraft engines for our customers, and I look forward to sharing details of our first flight of Rocket 4, which we expect later this year. Also, please join us for the live stream of Astra's second Annual Space Tech Day on Tuesday, April 25, 2023. We'll share updates on Launch System 2, the Astra Spacecraft Engine, and more at astra.com/livestream. And with that operator, please open the call for questions.
Operator: [Operator instructions] We'll take our first question from Mariana Pérez Mora with Bank of America.
Mariana Pérez Mora: Good afternoon, everyone. In your prepared remarks, you mentioned the current environment, right? Last year has been really tough from evaluation perspective for the space industry in general, and some companies have recently announced they're actually struggling to get the financing to continue the development efforts. How are you thinking about the $100-plus million you have in on cash in the balance shed and this kind of like free cash flow that you're burning at about like $40 million plus every quarter? How should we think about the CapEx coming down or free cash flow usage trends from here and financing option?
Axel Martinez: Hi, Mariana, this is Axel Martinez, the CFO here at Astra. So of course, look, we always continue to evaluate financing options and are actively always discussing with different providers. We don't have anything to report right now, but from our perspective, as we mentioned in this in our opening remarks, there's a focus on our part both to make sure we continue to optimize our cost structure. We're going to be focusing on our administrative expenses because we want to make sure that we allocate as much of our capital to our two core priorities, the launch service -- the launch services business, and our space products business. We're very excited about the momentum we have right now. We think there's a great traction with our spacecraft customers. There's great traction with our development, and so, we think that the market will reflect that and, we agree with you -- we agree with you that it's been a tough environment, but, the focus that we took at the end of last year, we are seeing it pay off. We're seeing great momentum, as you heard from Chris earlier, about all the different things we've been doing and so we're excited about what 2023 looks like for Astra.
Mariana Pérez Mora: Thank you. And when you think about, you mentioned the prepared remarks that the investment on space products or CapEx related to that should be over after first quarter. How should we think about the CapEx cadence, CapEx cadence for the launch business?
Axel Martinez: Yeah, sure. As you know, we provided guidance for CapEx for Q1, and we'll continue to do so on a quarterly basis. And you are correct that for our spacecraft engine business, our CapEx -- our investments are now coming to an end because we moved into our new facility and we're very excited about it and going forward, we'll continue to provide guidance on CapEx.
Mariana Pérez Mora: Thank you and probably last one from my end. How thrilled do we think about timing on the ramp to the 500 units per year that you expect to produce in the new facility for the engines?
Chris Kemp: Yeah, that's a great question. We're not providing guidance on the future deliveries. We have noted that we'd sold about 278 engines as of today, and the majority of those engines will be delivered this year, next year. And typically engines are delivered about a year from when we signed the contracts and, a lot of those contracts as we have -- as we've indicated previously, came in in the last half of last year. And I think that's all we've shared publicly, and I think the investments that we've made in CapEx, both in the rocket production line and in the spacecraft engine production facility, we're critical for meeting these customer contracts that we have and bringing the cost of these products down to where we can compete in the market where we want to compete, which is kind of with a scaled launch services product. And at the scale that we've indicated we want to produce the spacecraft engines.
Mariana Pérez Mora: Great. Thank you very much.
Operator: We'll take our next question from Edison Yu with Deutsche Bank.
Edison Yu: Wanted to ask on launch first. I know you used to targeting the first flight right before latest year. Assuming that goes well, how should we think about the phasing of launches after that? Do you have a plan to kind of start completing the manifest? Do you need to do a couple more successful tests? What's that cadence sort of look like?
Chris Kemp: Yeah, thanks Edison. I appreciate it. I think that the way we're thinking about the first flight is we would certainly love to be the first company to ever fly a rocket and have it be flawless the first time. And we're also we've been humbled by the challenges that both Astra and organizations across the world have faced over the last year with new rocket programs. So, we are planning on building an Alpha and a Bravo [ph] test flight and learning as much as we can from those and then as we have a number of customers that we have launch contracts with, we obviously want to get back to servicing those launch services contracts as soon as we can. And, we think that demonstrating reliability will unlock a lot of potential given the new 600 kilogram capacity and the price point where we'll be offering that service. But again, I want to underscore the investments we've made are to ensure that we can scale production and we can ensure the reliability of this new Rocket 4 and Launch System 2 has received the right amount of attention and the right amount of investment given the cost of capital, both now and in the future. And we've been -- we've been as thoughtful as we can be as a management team in striking that balance and giving the team enough time to build the best possible product and achieve success as quickly as possible.
Edison Yu: Understood. On the space engine side, on the propulsion side, very decently sized backlog, order book. I'm wondering what's the latest on getting into some of these mega constellations and I'm mainly alluding to OneWeb Gen 2, obviously you have that relationship with them already. Any updates there? Any timing that we should be on the lookout for, if you can get some pretty major content on that constellation?
Martin Attiq: Hey, Edison, this is Martin. As you know, we've worked with a number of customers and constellations and we have signed up a number of them, and we continue to work with our existing customers who have larger programs that they have in mind to execute against those programs and next week contracts against those programs. We don't have anything to announce today. And believe me, like when we do something get announced, we'll let you know. But we are very excited by, as Chris and Axel alluded to, not only the strength of the backlog, but also the strength of the pipeline that's behind it, and the customer discussions we're having that we're trying to convert to contracts is also very exciting, but we don't have anything to announce in any of the mega constellations that are out there.
Edison Yu: And in terms of the capacity that you're planning for, do you need a mega constellation to run full capacity, or do you think you could fill that up with I guess, yeah, without hitting a bigger -- a bigger one?
Martin Attiq: Certainly a mega constellation would be great, and I think we'd be delighted to support, those programs. We don't need those programs in order to support the capacity that we're trying to build out in Sunnyvale, given the pipeline that we have. Maybe Edison, if you're asking about -- go ahead. If you're asking about launch services, I think that we see the demand and the number of launches continue to increase. And also the companies that are out trying to build new capabilities like Astra has recognized, this is a challenging thing to get going. And we believe that 600 kilograms is a sweet spot because it'll allow us, as we said earlier, to address at least 80% of the overall addressable market for satellites. And we have a lot of visibility into that market because we see the satellites that folks are building with Astra spacecraft engines. We want to be able to service those customers not only from our space products business, but from our launch services business in the future. And what all those customers tell us is that price is really important and we need to -- we need to get the price per launch down, and we need to get the price per kilogram down as much as possible given the low price per launch. And that is why we have made the investments that we've made in the new Rocket 4 production line and I hope you're all able to come out and see us at Spacetech Day on April 25, because you'll see that, you'll see this -- you'll see the Rocket 4 production line, and you'll see the investments we've made to scale production of the launch vehicle. And, 600 kilograms when you look at it is -- if you look at even a rocket launch every single day would be about [indiscernible] and we're seeing Space increase the number of ride share emissions year-over-year because of the increasing demand for access to lower earth orbit. And we've always believed in lower earth orbit and we've always believed in a vibrant space economy that has a large both US and international set of capabilities being deployed and that continues year-over-year to prove itself out. The market just continues to get bigger. So we're working really hard because we have customers to deliver for it and a large market to serve.
Edison Yu: Okay. Last one for me. I'm curious if you entertained any thoughts or thought about, monetizing or separating out the, the propulsion, the space engine business. Obviously, is a much different profile. You just mentioned, there are almost 50% gross margin even at these low volumes. Do we have any appetite to try to separate that out monetize it in the future, curious if any color there?
Martin Attiq: We think it's a great business and we continue to leverage the investments we've made at Astra to deliver parts from the machine shop that we built to make rocket parts. I think there's a lot of -- there's a lot of complimentary opportunities in the market. A lot of the customers that are buying spacecraft engines are interested in buying launches from us or have bought launches from us and we remain fully committed to that business.
Edison Yu: Thank you.
Operator: And there are no further questions at this time. I would like to turn the call back over to Chris Kemp, Founder, Chairman and CEO for closing remarks.
Chris Kemp: Yeah, I really want to thank everyone for joining today and again, I want to invite everyone who's listening to this to tune in to Space Tech Day. We have a lot of hard work that our team is excited to share with you all on April 25. And if you're interested in coming out in person, please reach out to us if we can accommodate you, we'll do our best. Otherwise we'll have a livestream at astra.com/livestream and we look forward to coming back and chatting with you again at the end of Q1. Thank you.
Operator: And that concludes today's presentation. Thank you for your participation and you may now disconnect.